Operator: Thank you for standing by, and welcome to the LHC Group Q1 2020 Earnings Conference Call. All lines have been placed on a listen-only mode. [Operator Instructions] I would now like to turn the call over to Mr. Eric Elliott, Senior Vice President of Finance and Investor Relations. Please go ahead.
Eric Elliott: Thank you, Tequila and good morning everyone. I’d like to welcome all of you to LHC Group’s earnings conference call for the first quarter ended March 31, 2020. Hopefully everyone received a copy of our earnings release last night. I would also like to highlight that we have posted some supplemental information on the quarter and the impact of COVID-19 on the Quarterly Results section of our Investor Relations page. The supplemental deck as well as a copy of the earnings release, the 10-Q and ultimately a transcript of this call, when available can be found on this page. Our supplemental deck includes all of our reconciliations and breakdown of adjustments. We will refer to these non-GAAP measures during our call today. In a moment, we’ll have some prepared comments from Keith Myers, Chairman and Chief Executive Officer; and Josh Proffitt, Chief Financial Officer. We are also joined by Dr. Ben Doga our Chief Medical Officer and Bruce Greenstein, our Chief Strategy Officer who will be available along with Keith and Josh during Q&A. Before we start, I would like to remind everyone that statements included in this conference call and in our press release and in our supplemental financial information, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These statements include, but are not limited to, comments regarding our financial results for 2020 and beyond. Actual results could differ materially from those projected in forward-looking statements because of a number of risk factors and uncertainties. Certain risk factors and uncertainties such as the magnitude of the impact of the COVID-19 pandemic that could cause our actual results to differ materially from our projections and estimates are more fully set forward and described in our annual and quarterly SEC filings including our earnings release and related Form 8-K or Form 10-K and our Form 10-Q on file. LHC Group shall have no obligation to update the information provided on this call to reflect subsequent events. Now I’m pleased to introduce the Chairman and CEO of LHC Group, Keith Myers.
Keith Myers: Thank you, Eric. And thank you, everyone, for dialing in and participating in this morning’s call. Let me begin with a special thank you to all LHC Group family members at every level of our organization for the courageous work you are doing during these unprecedented times. Your energy, enthusiasm, support for one another and desire to care for others is nothing short of amazing. I'm humbled and honored to be part of your team. I would also like to say Happy National Nurses Week to all of our LHC group family nurses and nurses throughout the country who are on the frontlines fighting this COVID-19 pandemic. Rather than focus on the usual upfront highlights in this earnings call, I want to direct comments to two distinct periods of time. The first is the period January 1 through March 14, 2020 where we experienced double-digit organic growth in Home Health admissions, strong year-over-year growth in earnings and EBITDA trending above guidance and key quality and patient satisfaction measures for Q1, 2020 showing overall improvement from Q4, 2019. All together validating that our PDGM care model is exceeding expectations but let's turn to what I expect most of this call will be about; the second period. Although we began our internal COVID-19 preparations in earnest on March 2nd, I will refer to March 15th as the beginning of the second period of 2020 for LHC group as it follows our first COVID-19 patient admission on March 30 and relates to the period where we began to see an impact from the pandemic. With regard to our COVID-19 preparedness efforts we began by creating a multidisciplinary task force. We replicated the basic framework of the proven work stream model that worked well for us in the recent past with the integration of Almost Family and our PDGM preparation. We held our first COVID-19 task force meeting on March 4th and since that time we have held either daily or twice daily task force meetings. From our early preparation at the beginning of March until today I'm pleased to report that we have taken necessary steps to position us well and to be part of the frontline solution to the national pandemic working closely with our many hospital partners, payers, referral sources and governmental partners at the local state and federal levels. As Josh will discuss later it took us a few weeks to fully understand the impact COVID-19 was going to have on our census, admissions and revenue. But as it relates to our patients and their family members and our employees we knew from the start that we had to move quickly to source adequate inventory levels of PPE to protect our clinicians and the patients we serve throughout the country. The two top priorities of our PPE work stream were to one source adequate PPE to allow us to provide full PPE kits for every in-person patient encounter by a clinician caring for our COVID-19 suspected or positive patients. These PPE kits include among other items and N95 mask, isolation gown, face shield, gloves, head covering and shoe covering and two, to provide every clinician with the clinically appropriate facemask and pair of gloves for every in-person patient encounter with patients that were not COVID-19 suspected or positive.  Although we experienced the same reduced allocations of PPE from our primary supply chain vendors as our peers throughout healthcare our PPE work stream was able to successfully identify alternate suppliers of PPE both domestically and abroad that allowed us to achieve our goals of accepting and treating COVID-19 patients at all locations and to implement our universal mask and glove policies for all patient encounters throughout the organization. We remain well stocked at this time in all locations and barring any unseen setbacks in production our availability we have good sourcing in place for subsequent orders.  Our first phase of response to COVID-19 also included a pre-screening of our entire workforce based on current CDC guidelines. A tremendous effort that put us a step ahead. Immediately following our task force meeting we completed an initial pre-screening of all LHC Group employees. Sharply thereafter we initiated a daily pre-screening of every employee every day of the week prior to beginning the work day. As it relates to ADC or average daily census we saw a 5.6 decline from a high point of 100,030 on March 9th to a COVID-19 induced low of 94,476 on April 18. Our ADC has already begun to rebound from that April 18th the low point and as of Wednesday May 6 was back up to 96,182 which represents a 1.8% increase in ADC from the April 18th low to May 6. Last but not least we made it a priority focus to support our greatest asset; our employees.  While taking care of our patients we made sure from day one that we were intensely focused on taking care of our employees. We often say that our people first employee focused culture at LHC group is one of our greatest differentiators that sets us apart as an organization. Well, I can humbly say I believe this COVID-19 pandemic has pressure tested that core foundational principle in an unprecedented way. In addition to ensuring the safety of our employees through the two main PPE initiatives, I described earlier we've put in place several initiatives to help relieve the financial burden some of our employees experienced due to the COVID-19 pandemic. These programs include first the addition of a new COVID-19 related criteria for our LHC group purpose fund which is our 501 C3 charitable arm, which was founded in 2005 in response to Hurricane Katrina and continues to help LHC Group employees receive support when they experience financial or other hardships in their lives. The purpose fund is funded from contributions from fellow employees to help one another. Members of our executive team, board of directors and others throughout our LHC Group family have generously stepped forward to fund this new COVID-19 related criteria for the purpose fund. Second, we afforded our employees an opportunity in the month of March for a special PTO cash in for 100% of a certain amount of an employee's PTO value. Third, we made enhancements and modifications to the loan and disbursement parameters afforded to our employees on our 401-K program. Fourth, we expanded the offering of benefits provided by our Employee Assistance Program. Fifth, we announced a make whole wage supplement for frontline direct care giving employees designed to protect and restore gross wages for employees who have experienced lower gross wages due to the temporary effects of COVID-19 on patient volumes. And finally we continue to provide resources for all employees to be better prepared and informed through daily communication update to all employees on directives, policy and procedural changes related to COVID-19 and our manning of special COVID-19 email inbox to answer questions that arise from my employees in a timely manner. Turning to growth. We could not be more pleased with the execution of our overall growth strategy. To-date we've received referrals from over 5,000 new referral sources in 2020 defined as a referral source with no history of referring to LHC Group in the prior 12 months. We believe this is largely driven by improved execution of our growth strategies and market consolidation resulting from implementation of PDGL. We fully expect Home Health market consolidation both organic and inorganic to continue throughout 2020 and for the next several years. With regard to M&A understandably, we've experienced delays in LOI executions and closings and our hospital JV pipeline over the last couple of months. On the other hand during COVID-19 we've experienced our existing joint venture partners more fully leveraging our capabilities as an integral part of their healthcare delivery team than ever before. As a result we fully expect even greater joint ventures into some hospitals and health systems in the future. That said our pipeline of potential M&A growth opportunities remains robust and is well balanced between Home Health and Hospice. When we add that to the historic organic growth opportunity from market absorption that lies ahead and Home Health these are very powerful sources of growth for the remainder of this year and into 2021 and beyond. Before turning the call over to Josh let me conclude my prepared remarks by expressing my appreciation for the support that has been provided by the White House, both chambers of Congress, CMS, HHS and the CDC during these very unique and challenging times. In addition to areas of financial relief and support Josh will cover which includes receipt of traditional recovery funds for expenses and lost revenues attributable to COVID-19 and the temporary suspension through year end of the 2% Medicare sequestration cut, I want to acknowledge a few policy related highlights that are extremely helpful during the COVID-19 pandemic and will hopefully lead to better home care policies going forward. The first notable highlight is that nurse practitioners and physician assistants are permanently authorized by Congress in the CARES Act to order and certified Home Health services. For the first time without regard to the emergency, nurse practitioners and physician assistants can order and follow a Home Health plan of care and conduct face-to-face business. We also were pleased the CARES Act directed HHS to encourage the use of telecommunications including remote patient monitoring in the home during the time of the emergency. While not yet a separately reimbursed benefit this is a step in the right direction and has resulted in an emergency rule from HHS giving us increased flexibilities to use remote technology in the home. One of these flexibilities includes the authority for us to conduct initial assessments, re-certifications and make homebound determinations remotely or by chart review during the emergency period. Policymakers should consider making this temporary change a permanent one as its value to patients and families become evident. Further, the CARES Act now permits a physician or nurse practitioner to conduct a face-to-face recertification for Hospice benefit eligibility via telehealth during the period of the emergency. These provisions along with other regulatory flexibilities realized from CMS in recent weeks we think will lead to greater benefit over time to our patients in the home and informed future policies.  In closing, I want to once again recognize and thank my more than 30,000 LHC Group colleagues for their unwavering commitment to excellence in all that we do and our many healthcare partners throughout the country without whom our consistent performance and opportunities for continued growth and development of our founding mission of service would not be possible. Now here's Josh to provide some color on our financial results and our outlook. Josh?
Josh Proffitt: Thank you Keith and good morning everyone. Thank you all for joining our call. As always I begin my prepared remarks by saying how much I appreciate all of our clinical professionals and the support personnel across the country and what they do each and every day. You have truly gone above and beyond during these historic times in our country to put others above self and to be an integral part of flattening the curve of COVID-19 and being a part of the solution for our country during this pandemic. It is a true privilege to serve you as you give so much of yourself serving others. Again we are humbled and honored to be a part of your team. I want to continue with how Keith framed his comments with the distinct periods as it relates to our financial results and provide some additional color on the trends we saw between January to mid-March and then from mid-March to mid-April and finally the extremely positive trends we have begun to see since mid-April and the implications for all this activity going forward. Consistent with past practice, our supplemental financial information is posted on our website with detail on the breakdown among sector performance. I encourage you all to review this supplemental financial deck as it provides additional details to my comments this morning. We are happy to answer any questions on the quarterly results but I'm going to focus most of my prepared comments on the context and the stats to help understand the trends. I will also address the steps we are taking to balance managing cost in the short term during the pandemic with ensuring we remain well-positioned to take full advantage of both the historic growth opportunities as well as the new opportunities to accelerate the innovation of the delivery of care in the home that lies before us. First a few housekeeping items. Starting with this quarter it is important to recall that our organic growth is now being calculated and reported across all agencies; legacy LHC and legacy Almost Family combined. Also our current period as noted in our earnings release was impacted by expenses associated with COVID-19 for purchases of PPE, additional supplies and wage adjustments of approximately $2.9 million in the aggregate or $0.07 per diluted share. We also benefited in the quarter from a tax benefit of $2.2 million or $0.07 per diluted share related to the CARES Act which lifts certain deduction limitations for tax purposes. Specifically for us we are now able to fully utilize and offset taxable income with some net operating losses associated with Almost Family prior to the acquisition. Even amidst the challenges of this Corona virus pandemic we reported revenues above the top end of our projected guidance range and EPS and EBITDA within our range. For the period January 1 through March 14, 2020 we were actually on pace to exceed the top end of our first quarter guidance in admissions, organic growth, revenue, EPS and EBITDA. Certain stats of note for that period included Home Health organic admissions for the two-months period of January and February was 12% as compared to the two-months period of January and February last year. Although we were really hitting on all cylinders with high single-digit to strong double-digit organic growth in all of our regions, I'm excited to specifically call out that the state of Florida was pacing at 15.2% organic growth for that two months period. If you break down those first two months separately you will not only see incredible organic growth but you will see building momentum prior to COVID-19 with Home Health organic admissions growth of 10% in January followed by 14% in February. If you expand the period to the full first distinct period that Keith alluded to which is January 1 through March 14th, we still experience double digit organic admission growth in Home Health of 10% over the same period in 2019. Coming off all of that admission growth momentum Home Health average daily census hits the highest mark of 79,752 on March 9, 2020. Turning to Hospice. Hospice, organic admissions January 1 through March 14 was 2.4% over the same period in 2019. Hospice census continued to remain strong and steady remaining at levels between 4,242 and 4,311 from the pre-COVID-19 period and throughout the entire COVID-19 to date. Turning now to the period from March 15 through April 14, we experienced a number of headwinds that have recently begun to lessen. Due to the pausing of elective procedures and various lockdown orders and visitation restrictions at hospitals, skilled nursing facilities, ambulatory surgery centers and many physicians offices across the country, we had less direct access to referral sources and care coordinators. Some patients and families were also apprehensive of allowing clinicians in their home due to fears of potential exposure to the Corona virus. We were however able to maintain our patient encounters and our relationships with referral sources through telehealth and other remote means of communication but with CMS not specifically reimbursing for telehealth visits for Home Health or counting them towards the LUPA threshold, our LUPA percentage is increased during this distinct period thereby reducing our revenue for admission at the end of Q1 and to start Q2. A few data points might help quantify how impactful this period of March 15 for April 14th was. First Home Health admissions were averaging around 8,800 per week from January 1 through March 14. On April 13th, we hit our low point in Home Health admissions of 6,169. I am pleased to report that we are currently seeing that number rebound with week over week improvement in Home Health admissions of 6,634 for the week of April 20 and last week we were back up to 6,700 for an 8.6% improvement over the week of April 13. At the outset of the Corona virus pandemic, we created a new code in our electronic medical records and immediately began to monitor and track missed visits due to COVID-19. The number of Home Health visits missed related to COVID-19 started to become evident the week ending March 14 when we had 412 missed visits. It quickly increased and hit its highest point the week ending March 28 resulting in 8,585 missed visits during that week. As with admissions though we are starting to see week over week reductions in missed visits due to COVID-19 with missed visits down to 1,937 last week for 77.4% improvement over the week ending March 28. Our normal, LUPA rate is between 8% and 9% of total Home Health admissions. We saw this number spiked to 12.5% during the week ending April 4 but it is now trending back down to single digits with us expecting to return to pre-COVID-19 levels of around 8% last week. We also implemented a new code in our EMR and began to monitor and track number of patients that declined admission due to COVID-19. The number of patients that declined admission to Home Health due to COVID-19 hit a high of 336 patient refusal the week ending March 21st. As with other key stats we are seeing that trending in the right direction as well with the number of patient refusals due to COVID-19 being down to only 52 last week or an 84.5% improvement over the week ending March 21st. Home Health average daily census went from a high point of 79,752 on March 9 to a low point of 74,463 on April the 18. We are now seeing that number growing again with yesterday's Home Health census back up to 76,435 for a 2.6% improvement since that April 18 low mark. While this is a positive sign we have much ground to regain before we get back to the high point March depending on the listing of stay at home orders and the elective procedure volume returning to normal. With regard to lifting of restrictions on elective procedures 21 of our 35 states of operation have taken steps to begin allowing elective medical procedures from as early as April 27th in Texas to as recent as this Monday May 4th in Florida. These 21 states represents approximately 88% of our Q4 Home Health admissions volume. Our number of telehealth and remote patient visits averaged around 10,000 per week prior to March 14th and are over 18,000 since March 14. Post March 14th our LTACHs continue to be a bright spot with an occupancy rate of 68.3% from January 1 through March 14 to a now current occupancy rate of approximately 80%. Also important to note for our LTACHs from January 27 through the end of the public health emergency period which is now extended to July 25 we are receiving full LTACH reimbursement for every patient admission which has resulted in an increase in revenue per patient day from around 1,200 per patient day to 1,500 per patient day due to this reimbursement relief. To recap, barring no material spikes in Corona virus cases or a second round of shelter on place orders throughout the country once the current orders that remain are listed it appears as though we hit the bottom in Home Health census the week ending April 18 and from that point through this week we've seen incremental weekly improvement and all of our key operational and growth stats. And with regard to resuming our growth momentum that had us pacing at a 12% organic growth for Home Health admissions the first two months of the year, I would like to expand a little further on the new referral sources that Keith mentioned earlier. The breakdown by month so far in 2020 of new referral sources is as follows. 1,547 new referral sources in the month of January. 1,334 in the month of February. 1,191 in the month of March. 1,249 in the month of April and already 242 new referral sources thus far in the first week of May alone. This trend of new referral sources is a very solid early indicator of the market share gain potential we were expecting as we entered 2020 and we believe our industry-leading quality scores combined with how we continue to receive positive satisfaction feedback from these new referral sources bodes extremely well for regaining this growth momentum fueling our exit velocity into 2021. While we were clearly on pace to well exceed our previous guidance for the first quarter and had a strong start to achieving or exceeding our previously issued guidance for the year we believe it is prudent to withdraw formal guidance for 2020 due to the inability at this time to reasonably estimate the impact the COVID-19 pandemic will ultimately have on our operating and financial results for the year. Many factors are beyond our control and difficult to predict such as whether or not there will be a further flattening of the curve throughout the markets we serve, the pace at which shelter-in-place orders are lifted, whether or not there will be another spike in Corona virus case is causing a second wave of such orders later in the year, the pace at which elective procedures begin to ramp back up and many other factors. While balancing and prioritizing our people pillar during this pandemic and ensuring we remain in a position to exit 2020 with maximum velocity, we continue with our cost reduction initiatives associated with PDGM. We have also implemented a number of cost containment initiatives to help offset some of the impact of the COVID-19 pandemic related cost and the lower volumes. In March, we began eliminating all non-essential travel and discretionary spending. We enacted select employee furloughs while also moving to increased flex time throughout our home office staff and throughout our G&A support positions. Additionally, our executive team, all other members of our leadership team and all home office leaders are flexing a minimum of 10% and up to 30% of their salary during this time. In total we estimate all of these cost containment initiatives will be able to save us approximately $15 million for the balance of the year. As you are aware, on March 27th, the CARES Act was passed and signed into law by President Trump. The CARES Act contains provisions related to healthcare providers operations and issues caused by the Corona virus pandemic. On April 10th LHC Group without application received $87.5 million from the CARES Act, provider relief fund as a formulated calculation applied to LHC Group’s medicare fee for service revenue. While specific granular details of the program are still being evaluated funds are specified to be used, prepared for and respond to the pandemic and shall reimburse the recipient for healthcare related expenses or lost revenues that are attributable to the Corona virus. The ability of LHC Group to retain and utilize the full $87.5 million from this provider relief fund will depend on the magnitude, timing and nature of the economic impact of COVID-19 within LHC Group as well as the guidelines and rules of the federal relief program itself. In addition, we also receive funds totaling $307.6 million under the Medicare accelerated and advanced payment program as provided for by the CARES Act. The accelerated medicare payments are interest-free and the program currently requires that the centers for Medicare and Medicaid Services recouped the accelerated payments beginning 120 days after receipt by the provider by withholding future Medicare fee for service payments for claims until such time as the full accelerated payment has been recouped. The program currently requires Medicare Part A providers to repay the funds within 210 days of receipt. The CARES act also permits employers to defer the deposit and payment of the employer's portion of social security taxes that otherwise would be due between March 27, 2020 and December 31. The law permits employers instead to deposit half of those deferred payments by the end of 2021 and the other half by the end of 2022. We estimate the positive cash benefit to us of approximately $50 million in 2020. The CARES Act also temporarily suspends Medicare sequestration for the period of May 1 through December 31, 2020. As a result healthcare providers can expect to receive an increase in fee for service Medicare payments by approximately 2% which we estimate to be approximately $15 million to $20 million positive impact to revenue for us during this period. Turning now to page 20 of the supplemental deck we've updated all of our debt and liquidity metrics for the quarter end. We have over $385.4 million of liquidity with cash availability on our credit facility and an accordion feature for up to $200 million of additional capacity. Our leverage at quarter end was 1.4 times. You will note that free cash flow was negative $38.9 million for the three months ended March 31, 2020. The main driver of this was an increase in accounts receivable of 68 million for the first quarter due to PDGM and reduction RAPs which was expected. Also as expected DSOS increased by 13 days to 62 days in the first quarter compared to 49 in the fourth quarter. We expect this to settle in at a new normal rate of 55 to 60 days in the remainder of 2020. In the first quarter, our facility-based segment experienced lower EBITDA margin. We had a low occupancy rate of 65% in the quarter. As I mentioned earlier we are currently at approximately 80% occupancy. The other issues that affected Q1 was approximately $380,000 of cost associated with a startup facility on the north shore of New Orleans as we expanded our post acute presence and partnership with Ochsner Health. Our community-based segment reported modest losses after home office and overhead allocations. The weakness in HCBS is related to our recent conversion from the old Almost Family system to a single third-party billing and operational platform across all HCBS locations. We discussed this late last year and earlier this year in how the Almost Family-wide conversion would cause temporary headwind but would bear fruit in the long term. During the quarter we also had about $500,000 of negative impact to revenue associated with prior year revenue adjustments and also experienced an impact related to COVID-19 in much lower billable hours. January through March 14th, we averaged around 180,000 billable hours per week. That number dropped to 170,000 from March 15th to April 14th with a low point of 167,000 the week of April 13. We continued to see this number improved and are currently pacing back over 170,000 this week. With the conversion and those headwinds behind us and barring the unforeseen digression in the service line from COVID-19, we should see the HCBS service line begin to gain momentum throughout the year and enter 2021 the strongest it has ever been. These last few weeks have been a historic opportunity for LHC to demonstrate how well we work with our partners across the entire continuum of care, how much more attractive in Home Healthcare is to all stakeholders in times such as these and how vital we are to delivering the highest quality of care in the most cost-effective setting. When combined with the growth we have continued to experience from integrating new partnerships and extensions of existing partnerships we sit here today with a much larger opportunity for joint ventures than we did even three months ago. As Keith mentioned earlier, we will also most likely experience delays in finalizing new joint ventures due to the justified focus of our future partners and having the pandemic in front of them but suffice it to say we believe the momentum will accelerate after COVID-19. Of course the other historic opportunity we have been describing up until this point has been the expected consolidation in the highly fragmented Home Health industry due to the impact of PDGM and the elimination of RAP payments. With our PDGM care model in place and performing ahead of schedule even in the face of COVID-19 our successful management through this pandemic when the smaller agencies might be struggling should get us to an acceleration in volumes in the second half of the year and into 2021 quicker than we had even planned. We expect to get there through inorganic growth as I just described but also earning the business with leading quality and patient satisfaction scores to draw an incremental organic growth and market absorption. This has been the start to a year unlike any other that any of us could honestly have predicted. There is still uncertainty about the timing of recovery and reopening but the trends we have seen since mid-April paint an encouraging picture. What I'm pleased to see so far is that we have been able to respond to this pandemic as a team, our culture intact and emboldened, our mission is vital in practice as it is an inspiration and our value proposition stronger than ever before. That concludes our prepared remarks. Tequila, we are ready to open the floor for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Kevin Fischbeck with Bank of America. 
Kevin Fischbeck: Great. Thanks. I just wanted to get a little color on your new referral sources that you highlighted. Do you have a sense there or is any indication why exactly they're coming through? Have they indicated that there were issues with their prior supplier? Is it your ability to treat COVID patients? Any color there is, I think why it's been such a big increase?
Keith Myers: This is Keith. First of all it's not related to COVID-19 because we saw this in January and I'm sure there's some impact related to COVID-19 but certainly not all of the trend. And honestly, I haven't heard any single one component of that build-up that's greater than others. I mean there are certainly new physician referral sources but I don't know how much of it to be specific, what percentage of it is related to our quality efforts versus what percentage is related to comes up consolidation as a result of PDGM. We don't have anything measured like that.
Keith Myers: Well, then maybe it is their way to put that number into context like I guess you guys are always out there trying to get new referral sources. I mean is there a way to compare that 5,000 to how many you added around the same time last year?
Kevin Fischbeck: There would be. We do, Josh, do you have that number?
Josh Proffitt: Yes, Kevin this is Josh. I don't have that number right here in front of me but I could definitely circle back with you offline and provide that to you. I'm confident that it's higher but I just don't have a relative baseline to compare for you.
Keith Myers: And so this is a standard report we run. So we know it's higher which is what made us pay attention to it but it is a standard report but it would be interesting to follow up with it. I don't know what it was quareter --
Kevin Fischbeck: Okay. That's okay. And then when we think about the volume rebound obviously you guys are seeing a lot of momentum and you expect to come back. How do you think about the concept of pent-up demand and obviously a lot of unknowns and uncertainties. So fully agree that we lot of caveats to this answer but if you don't get COVID coming back I mean when you think that volumes return to normal and do you think that there will be a period of above-average utilization because there was pent-up demand? Thanks. 
Josh Proffitt: Yes Kevin. This is Josh. Great question and I alluded in my prepared remarks to kind of the trend that we're seeing now in a lot of states opening back up for elective medical procedures and I hit the highlights 21 states of ours which represents about 88% of our referral volume. That really began late April and is just now starting to happen. And so in talking to a lot of our hospital joint venture partners it's pretty evident that a lot of the elective procedures that did not occur during the what I'll say lockdown period are now being scheduled and looked at being placed on the schedule over the next few months and so I do believe you're spot-on that there is a pent-up demand and we should see that flow back out into Home Health referrals and admissions as those procedures are occurring and I think I've mentioned in the past that we typically get anywhere from 5% to 8% of our admission volume post elective procedure. So as that pent-up demand manifests into a discharge from the hospitals we will see a knock-pop from that probably back half of Q2 going into Q3.
Kevin Fischbeck: Okay. Great. Thank you.
Operator: Your next question comes from line up Justin Bowers with Deutsche Bank.
Justin Bowers: Hi, good morning everyone and congrats on firing up growth this quarter and really appreciate all the detailed disclosures that you've provided related to this. I just had some higher-level questions kind of on DC and in the policy area and Keith, I was wondering the partnership what are some of the bigger issues or conversation points that you're having with some of your peers and their constituents? And then secondarily in terms of COVID patients how should we be thinking about the reimbursement for those under Home Health? It wasn't clear to me if they were getting an add-on payment as well and if there was any difference between Part A and Part B patients. I will stop there.
Keith Myers: Sure. I'll take the first part of that that relates to DC. I think our efforts in DC have been well balanced in the two buckets of short-term versus long-term. In short term, the staff there and the consultants have spent a roughly 50% of time trying to keep us up-to-date on opportunities for relief that are in discussion and in process and helping to make sure that those are, that we have input and so that they're positioned in a way that is clear to us and beneficial and some of that in the initial funding that came forth there was a lack of clarity at least from an understanding perspective of providers about what strings were attached if you will and call back and also they spent time clearing that up and all that's been important to track. I'm probably being trying to always stay balanced thinking about the long term and haven't been in a partnership so long I wanted to make sure we didn't so completely focus on that we take all of the long term strategy in DC and things like, the doors that we've opened with regard to telehealth and extender utilization now we're appropriately keeping that type of mind to hopefully encourage that to be something that's a permanent part of policy going forward. Josh maybe you can take them.
Josh Proffitt: Yes. Great question, Justin and thanks for listening. The second piece of your question, I want to hit it head-on and then maybe add one little wrinkle to it. With regard to reimbursement for COVID-19 patients, there is no additional reimbursement for the Home Health benefit. So you're still getting paid under the PDGM model for a new 30-day payment period for whatever the PDGM related reimbursement would be with no COVID-19 add-on. What I will say that, one of the regulatory changes that was intended to ensure the treatment of patients in the home during the pandemic was for purposes of the pandemic time period additional element to the homebound criteria that if a patient is medically contraindicated to leave the home as advised by their physician then they now meet homebound status. So that would be either for COVID-19 suspection or positivity as well as underlying health conditions that would make you medically contraindicated to be susceptible to COVID-19. So although that's not reimbursement related, I did want to make that clarification as well.
Justin Bowers: Got it. And then just one quick follow-up. How -- can you help us think about the cost structure a little bit and G&A like fixed versus variable and just trying to marry that with what we -- how we should think about the run rate for the rest of the year or the quarter and we're thinking about like home house specifically?
Keith Myers: Yes. So another good question. On the Home Health side you've got probably right now in Q1 about 30% of our costs G&A. So that kind of puts that into perspective. We typically run down closer to 28% -- 28.5% I would say part of that depression in the quarter was some of the reimbursement and revenue for episode headwinds that we experienced with some across over revenue from the old pre-PDGM world as well as some of the PDGM headwinds. So I think you're going to see that continue to improve and get back to normal levels throughout the year but for COVID I should always fall about and then I would tell you even in my prepared remarks some of the things that we are doing as it relates to flexing and some of the other cost initiatives are lined out that aggregate up to about $15 million across the whole organization is primarily in that G&A line.
Justin Bowers: Okay. Thank you. Appreciate it.
Keith Myers: Yes. Thanks Justin.
Operator: Your next question comes from line of Scott Fidel with Stephens.
Scott Fidel: Hi, thanks. Good morning everyone. First question just want to get some more insight for you just on the corresponds and I know there's a lot of discussion right now in terms of the accounting for that and the treatment and that CMS is expected to give a bit more guidance on that. Interested if you could maybe just give us a look into the second quarter in terms of whether you've been able to figure out sort of how much sort of loss revenue or increased costs for 2Q, you think you may be able to apply towards the CARES grant funding and obviously since we're still only now a certain part into the quarter, maybe if you had, if you run those numbers for April for example and have any type of insights on that?
Keith Myers: Yes Scott, great questions. So I'll start with kind of in the middle of your question you alluded to getting some more clarity and maybe one of the benefits for us having our call today is we have some of that additional clarity that was issued yesterday by the Department of Health and Human Services in conjunction with CMS there were some new FAQs that were published that really gives some of the open questions that we're out there lingering around the provider relief fund specifically and how that is going to be able to be tracked and reported back as well as the way in which it will be able to be retained by the healthcare providers for the items you mentioned which are both loss revenues and increased expenses and they specifically put in one of their FAQ answers that HHS does not intend to recoup funds as long as the providers loss revenue and increased expenses exceed the amount. I guess from the internal perspective, I'll tell you about what we're doing from a controls environment and then what we're thinking from the accounting side because as you could imagine when you receive funds like this from the government, day one we immediately pull together one of those sub task force work streams that was led by our chief accounting officer, our chief revenue officer and our head of internal audit to develop very specific internal controls around the receipt of the funds, the tracking of the funds by provider number and the allocation of expenses and lost revenues, so that as we go forward reports back up to CMS the retention of the funds we will have most confidence in the integrity of that decision. As far as the accounting around it really don't have that finalized yet. I know there's a lot of discussion around it. Is it other income and do you pull it into the P&L at the time you have loss revenues and at the time you have heightened expenses; there's other discussion that you pull it all in at one time in the month of April or in Q2 we are actively digging into all of that and we'll have those decisions finalized by end of Q2 before we report out and then the piece to your question around how much of the loss revenues do we believe we can attribute to it without quantifying a number for you, what I would tell you is based on the guidance that was just released yesterday and the additional color in the terms and conditions and the FAQs we feel very confident that the loss revenues in the month of April will qualify and be able to be allocated for use of the funds.
Scott Fidel: Got it. That's very helpful. Then just my follow-up question and understand you withdrew guidance understandably around all the uncertainties with COVID just interested though, I guess more conceptually, how are you thinking at this point relative to the confidence just around that performance ramp that you had guided to over the course of the year just as it relates to more of the underlying trends in the business and just thinking you talked about how you were running nicely ahead of expectations through the first two months of the year, so that probably signaled that you had a lot of confidence around achieving that ramp. Obviously we now have these COVID dynamics that create uncertainty but just interested in the initial thoughts around that ramp that you had been talking about pre-COVID?
Keith Myers: Yes. absolutely great question, Scott. And I've got to say the confidence level, we had high confidence coming into the year as we signaled and continued to communicate around because of all of the efforts of our clinical team, our operations teams throughout the country of being PDGM prepared prior to January but the tails in the tape so to speak in the results so the pre-execution confidence was one thing but I've got to tell you now our confidence level is much higher than it even was back then. If you take out the effect of the census disruption from COVID, we were marching well ahead of schedule under all of our key measures of success under our PDGM implementation model and that led to kind of how good of a start we were having coming out of the gate in January and February and in the first half of March. We continue monitoring all of our PDGM metrics daily and we have our internal support infrastructure that works with our operations leadership each and every day that has not in any way pivoted from concurrently managing and monitoring against those metrics. So I'm pleased to report that even with COVID the continued ramp is ahead of schedule for the underlying business around PDGM across the entire Home Health portfolio. So really the only variable Scott in my mind toward where we start off in 2021 versus the originally kind of guided to ramp is where is our census level at the end of December and if all of the things that we've talked about here about growth momentum get our census back up to where we had projected it to be in December then I've got to say that the ramp would be even higher because of the execution.
Scott Fidel: Got it. Okay. Great. Thank you.
Operator: The next question comes from the line of Frank Morgan with RBC Capital Markets.
Frank Morgan: Good morning. appreciate the color around Almost Family and the details about the conversions going on there but just curious beyond that, are there any remaining tweaks in terms of the integration that you have to complete there and as you look at that really impressive 15% same-store growth in Florida any color around what specifically is driving that?
Josh Proffitt: Yes Frank. This is Josh. Great questions. With regard to Almost Family, I would say that there is no additional integration remaining. The conversion to a single billing and operational EMR system for just the home and community based services segment was the last piece to the overall puzzle of the integration efforts. I would highlight the kind of one remaining area of improvement that we're continuing to watch and concurrently monitor from an operational metric is the extended utilization for the AFAM agencies. We've been saying that once we got all of Almost Family converted to our instance of home care home base and fully educated and trained and kind of passed the PDGM education and implementation headwind that we would start to see the AFAM Home Health agencies, LPN utilization start to climb more closely to LHC Group standards. I'm pleased to report even there Frank that from a LPN percentage standpoint, the AFAM locations are now up to 40%. You may recall they started out at 30% LPN utilization and then we've got another 10% to 15% still to improve there to get it up to LHC 50% to 55% LPN percentage. So I wouldn't say that that's integration. I would just say that's core operations but we're going to continue improving in that area. So we feel really good about that.
Frank Morgan: And then the 15 % same-store growth in Florida, you need to call out there?
Josh Proffitt: Yes. I was pleased to highlight it, we mentioned it coming out of year end that we were starting to see such positive signs in Florida and now pleased to report where they were and I mean all credit is due to the folks there that are running the business in the state of Florida for us, both from our division president of operations and her counterpart. We did toward the back half of last year, I think we announced this we, added a separate division President of Sales just for the state of Florida. So previously that was combined with some other geographies in Florida with such an important initiative for us. We doubled down and added a division president level resource there. We've also really added some much higher producing feet on the street and really just have armed them with not only better quality results to go out and sell and better information but better daily metrics to go out and route plan off of and do the things that they do to go grow the business. So could not be more pleased with the efforts going on there.
Josh Proffitt: I might just add to that, just to make sure everyone is -- for us Florida, it's really not a surprise because we said this numerous times last year, Florida was one of those specific markets that we intentionally do not want to push growth during integration. It's so competitive in Florida we didn't want to, we wanted to make sure quality scores were trending in the right direction. We wanted to make sure we were fully completed with integration. As you said we have a really strong operator in Florida in Lin, but I'm really, I feel it’s very confirming that we waited until the fourth quarter ‘19 to begin to push with a new division present up there. Sales, and a partner and we're seeing its results. But it's when I say, it's not surprising, really we didn’t we didn’t put in a big sales after it 2019. I think we said that didn’t you?
Josh Proffitt: Yes, that was said, yes.
Keith Myers: Did that help, Frank?
Frank Morgan: And very good. And my follow-up question, and these sounds like a lot of really good things on here but just on the long shot, let's just say we did have a 2.0 come back on this COVID. Based on what you know now, is there anything significantly incremental that you would need to do or any other thoughts around kind of how you would address this if we are so unfortunate to have see it spike again. Thanks.
Keith Myers: Frank, this is Keith. I mean, I'll take that. I think this was a heck of a spring training camp. I think about PPE and all of the things we have to put in place to manage fluctuations in centers that are not been home for us in Home Health. I think all those were put in place. It would certainly we would have to believe what effect the ramp back up and cause some wobbling volume. But I think you would see our response to it would be much quicker and I think we'd be much better prepared not just LHC but just the whole space.
Josh Proffitt: Yes, Keith. Cutting it really more. And maybe one thing I would add to that is whether or not there is a 2.0 as you said Frank, one of the real encouraging pieces that we hear as been talking about for the past few weeks is this COVID-19 pandemic as terrible as it is and we remain essentially focused to care for those that are affected by it. It has really sharpened us and has made us even stronger in some of our core operational areas that will bear fruit even once the pandemic subsides. Some of the ways that we have learnt through it. As with anything, whether it's a joint venture partner that pushes us a little bit further into innovation or a healthcare pandemic, it really has made us stronger.
Frank Morgan: That's fiscal or deeper?
Keith Myers: Dr. Doga, can I ask you to lay in for this some specific clinical things?
Benjamin Doga: Certainly. Thank you, Keith yes. we began seeing COVID-19 patients in March as Keith mentioned and well went nationwide all locations with PPE on April 1st, taking care of 3214 COVID-19 suspected or confirmed patients today in over 423 of our local agencies throughout country and in 33 states. So, I mentioned those numbers specifically to talk about what may happen through the summer into the fourth quarter and to January of next year. From a PPE standpoint, completing every visit and mission by Keith was we go out into mass and every COVID-19 suspected or confirmed visit would full has it to PPE that we have onsite and developed a distribution program that is automated based on our codes that Josh has mentioned to identify this COVID-19 patients and ensure that we get the PPE for our employees, for every patient for their entire length of stay, estimated not just on each visit productivity model. And so, because of that we're both compared and have on hand the PPE available in anticipation of even increased significant increase in a number of patients care for daily into January of 2021. So, if we do see that 2.0 that you mentioned, not only are we prepared from a clinician standpoint and PPE standpoint but the tremendous there for that are going into this combination of IT with our support team along with our clinicians had allowed us to take many things off the shelf that we had in pilot programs. Are in development and deploy them immediately for the need to meet the needs of payers and hospitals and physician offices that are currently already in place, much of that going forward, we'll be able to utilize on a day-to-day basis for common patients or traditional patients from home healthcare. But that has allowed us to be able to implement those programs and they are in place and ready to go for round two if needed.
Frank Morgan: Thank you, that's very helpful.
Operator: Your next question comes from the line of Brian Tanquilut with Jefferies.
Brian Tanquilut: Hey, good morning guys. Keith, I got I'm going to start with the usual questions I would ask for my management teams right now. It sounds like Josh is really bullish in the 2021 outlook. But overall, I mean how are you thinking about 2021 based on what you've seen with PDGM. Do you think that it is going to be where you were thinking it would be or and it's obviously a bit better but if you could manage walking us through how you are thinking about 2021 right now.
Keith Myers: Okay, Brian. Can you bill it more specifically, you're talking about?
Brian Tanquilut: [Indiscernible]. Just one of that.
Keith Myers: What's that, say again?
Brian Tanquilut: 2021, earnings color.
Keith Myers: Earnings color. Yes, so my view of 2021, if I were modeling it again today rather than modeling it in the fall, I would be more positive. Because where we now have four full months of PDGM under our belt, two four month I guess. With all patients with no other transfer patients. Hence I would say more so, to me to Frank pointed, I mean with if we're not facing a COVID-19 situation every three months, but the PDGM model is working incredibly well. At every level, not just quality scores and all but the receptivity of the clinical staff and IP owe much credit of that to Dr. Dill Dave and entire clinical team. Because there is a lot of work that they did with regard to that before they pivoted to PDGM on March 13. So, I'm really bullish on it. And I don’t go out there and linger much, I think Josh is right, he's living in those number and he's looking Josh is looking more and more real time basis, projected versus actual. So, I think that's right. On the consolidation part, I think that's going to continue. And as I said, we spend a lot of our time working with well 50% the numbers would say working with hospitals and health systems and our joint venture strategy was very important to all of our partners from a financial perspective. Meaning that for years who would over and take over a Home Health agency that they struggled to manage and not be losing money on them much less quality. But now, they are leveraging that Home Health, the home health boots on the ground in ways that we could never imagine. So, I think it actually going to lead to more volume there, so super bullish on it.
Brian Tanquilut: Yes, I appreciate that. And then, I got my follow-up question for you is and let me think about Medicare -- organic Medicare ADC was down here a 9.5% during the quarter. It was also down in previous quarter. So, are we at the point where you're kind of agnostic between Medicare admissions, traditional Medicare versus MA? Is that a good way to be thinking about the view on the strategy, if there's a patient -- pair or mix patient?
Keith Myers: Yes, that's a really good question. I wouldn’t go so far to say agnostic, I'm not aware but we're less concerned about it. Alright, now I mean says that we're less concerned about it. The working relationship we have today, we are with most of the payer especially with larger payers' looks more like a partnership than it ever did before. And we feel less like vendors than we did five years ago. And so, we're still making improvements in our budget but I think that's the best way to describe it.
Brian Tanquilut: I appreciate that. I guess and the last question for Josh. So, as I think about revenue per episode, you're down 8%. How would you break that down between the impact of LUPA, PDGM and then just mix of patients or you go with that matter.
Keith Myers: Yes. So, as you pointed out, you said it in terms of percent, I'll do it in terms of dollars. It's down about $200 roughly and about half of that is PDGM headwind on right pressure as we continue to implement that model. So, that leaves you with a $100 left to try and figure and explain. It's hard to bribe the other pieces out but I'll tell you the contributors are as we described coming end of the year, the crossover episodes from three PDGM into January and February's revenue per episode were negatively impacted because of our I'll say early adoption effort to be prepared for PDGM. As we alluded to, that was going to have a little bit of a drag in the first quarter. And then you've got just the LUPAs and the COVID related pressure in the last really two weeks of the quarter. And if you look, I think it's a lot in our supplemental deck that kind of lines out the LUPA percentage ramp-up and now ramp back down. That would be the other piece to it. So, I'll say about 3% to 4% is PDGM headwind and the other remainder 3% to 4% if you will is due to crossover episodes and COVID-19.
Brian Tanquilut: Alright, thank you.
Keith Myers: Yes.
Operator: Your next question comes from the line of Matt Larew with William Blair.
Matt Larew: Hi, good morning. You're in a unique spot amongst your peers in terms of the relationship with past present health systems, you're showing vendor partnerships here alluded to this. So, I'm just curious, over the past six weeks you gave us some volume trends. Did the volume trends with those joint venture partners look differently in the sense that you were maybe better equipped and better positioned to help them create hospital capacity? And then, as you're thinking about the rebound, what are you hearing from those health system partners in state that have been up of how they're prioritizing cases and reopening them.
Keith Myers: Yes, that's a good question. I'll just give you high level observation. Josh maybe have some data to back that up. The first through, as it relates to the referral numbers from hospitals. Obviously as hospitals, health centers and hospital were down. So, our referrals coming as discharges from hospital partners were down as well. We made much of that up with patients obviously being admitted from the community as opposed distortion in the hospital. But a lot of and I don’t have that number. I don’t think we have it. Many of the patients that came directly to us and from the community may have been patients that would have gone to the hospital. Because we were definitely seeing diversion and have been much more conservative about which patients got admitted in the hospital. And many of the physicians that refer to us are affiliated with the hospital partners. So, I think that offered some benefit. With regard to the second part was about -- the second part of question?
Matt Larew: Yes, just about what you're hearing from those same partners in the early days of reopening. I'm thinking about getting lot of procedures back online.
Keith Myers: Yes. So, we're here in -- Josh, I'll let you take that with most of that part but we're going to, same thing everyone else has said. Save me, opening back up for procedures and there is I mean there is data that we see those and those pent up demand if you will are needed procedures that have been delayed. And just it is this is quite personal but my wife made this public, so I'll put out there. So, we experience this personally and then right in the middle of this, everything COVID related. And Genter shared this publicly. So, I'll share this now, Genter was diagnosed with breast cancer in February. And have a surgery scheduled at Austin and New Orleans. And the surgery was scheduled on March 11. And she had surgery there and she was discharged and at 12th and we came home. And Genter was DCIS, so it wasn’t an emergency surgery. Had she not had that surgery on the 11th, she would still be waiting in queue now, would be one of those people that we're talking about right now. Josh, now?
Josh Proffitt: Yes, Matt. I would maybe point you to Slot A just for some of the macro trend that you'd on institutional versus community. And we tend to run 65% 70% and that has got down to 55% here recently. And so that's in large part because the very thing that Keith just described and the base of your question. I would give you just maybe some more anecdote which is and some of our rural more urban market settings with the hospital and health system in that market. Now Keith just alluded to Austin, that's a great example. New Orleans has been one of the very early on hotspot for the coronavirus pandemic. And we have been working really round the clock with those hospitals that are, not every hospital has the same situation, not every market has the same situation but those hospitals like in Austin and New Orleans and some others and some of the larger market. We’ve been working with them to not only decompress and be ready for a potential surge but also to do some patient monitoring and some other things for their patients that would be outside the typical scope of what we do. So again, when I say this is refining us and making us sharper, it really is giving its opportunities to yet again prove our sales to our partners.
Keith Myers: If I could add just one piece as well. As we work with our both JV partners as well as hospitals that are not JV but we still do a lot of business with. If you go back to the beginning of the COVID outbreak, they intended to focus in nursing homes. And so, the traditional proportion of patients that would go to SNIFS post-acute, all of a sudden had to look for another site of care. And that's where our cooperation with these hospitals really came in. we designed clinical protocols as well as relationship protocol to be able to take patients that would have otherwise gone to the SNIFS. SNIFS were combination of not taking patients out of the hospital. Families and patients were preferring in many case not to go to the hospital or not to go to the nursing home after the hospitalization and would be working closely with our hospital partners to be able to take them. We believe that that's a trend that will likely exist far into the future. Maybe for an entire generation about rethinking about the need to go to the SNIFS post-acute the same way as we did last year. And we're prepared to be able to work with our partners to take those patients.
Matt Larew: Yes, good thinking. And just my follow-up actually I was going to ask for Bruce and Keith to question perspective on perhaps long-term takeaway. Then one thing you referred to was choosing the systems and your expectation is been able to refer of course refer to the temporary home bound change and then Bruce would have discussed and Keith sort of diversion from hospitals or SNIFS into the home. Of those things and there is a lot going on there. What are you most encouraged about, what do you think at the most staying power in terms of really broadening what the role that home health can play in sort of both the pre & post-acute patient care.
Keith Myers: Bruce?
Bruce Greenstein: Yes. There's been a dramatic recognition that the home is the site of the safest and most preferred care to get. Both in a combination of preferred not to go to other institutions after the hospital as well as the increased use of telemedicines from other care givers. We've shown that the home is just the perfect place to be able to delivery care for those that are maybe on the low-end of their acuity, and that would be for same monitoring a patient that is suspected to have COVID and not quite homing up qualified. And then on the deeper end, where we're seeing patients that would have otherwise gone to the SNIFS before and now we've designed programs to divert patients that would have otherwise gone to the SNIFS to bring them home. So, when we think about overall, something that Keith has been saying for quite a long time. Home is the preferred place to go, we see home as the site of care rather than think about it as a place that you go after getting other healthcare instead we think about it now as the place to get your healthcare. And home health is really that central quarterback and being able to run myriad place that involved many other parts of the healthcare economy. And as we assist both specialist and primary care physicians to do their telemedicine visit with our nurses in their home there. As well as designing the new programs that both health systems and payers are asking us to do to monitor patients so they don’t have to come to the emergency department or to the physician's office if there is a spec did to have COVID. And being able to monitor and manage their health needs and hopefully they recover and get better or if they need to seek care for a COVID related symptom, then we can direct them to the right place as well.
Matt Larew: Thank you.
Operator: The next question comes from the line of Bill Sutherland with The Benchmark Company.
Bill Sutherland: Hi thank you, and good morning everybody. The revenue per episode decline, Josh, what are you thinking that returns, I mean when do you kind of bounce back from that as you look at your at the progress here quarter day.
Josh Proffitt: Yes, Bill. That's a hard one to answer for you and not that I'm trying to dodge it. If it wasn’t for COVID-19, I would be able to give you a real clear answer. Because --.
Bill Sutherland: Yes, I guess I should say ex-COVID, I'm sorry.
Josh Proffitt: Okay, ex-COVID. Then, I think we're still on the trajectory in the ramp that heading into Q3, there would be no real measurable PDGM impact from a rate pressure standpoint. So, that 3% or 4% that we projected that did impact Q1 will be less than in Q2 and then neutralize back you three forward. So, if you take COVID out of the mix, the other piece that drug it down was the crossover episodes in January and February, which obviously you won't have any more of those. So, that's how I think about it.
Bill Sutherland: Okay, that's great. And then one quickie on your extended utilization. Do you have the percentages for assistance for PT or tax?
Josh Proffitt: Yes. So, for PTAs for almost family we’re up to about 45% and we have been more in the 35% to 40% before. So, that’s 45% and the LIC benchmark there is anywhere between probably 55 to 60.
Bill Sutherland: Great. On your missed visits statistics, as a percentage of total ADC, they were lower than I was seeing elsewhere. And I'm just kind of curious to have color on the reasons for the missed visits as you if you study that?
Josh Proffitt: I do. And great, kind of intuitive question. So, the missed visits being lower than your expectation. If I heard you right is attributable to the urgency and the real kind of real time reaction that this organization had ensuing adequate PPE and getting our clinicians fully equipped whether it who with a 95 masks, your loop surgical masks, gloves and all of the other pieces and parts to it. And we implemented extremely early on in the process, a companywide mask and glove policy for every visit. So, I mean you could see the numbers change as soon as I got rolled out. So, I think that early adoption of that was really the telltale fun. Ben, you want to add anything to that?
Benjamin Doga: Sure, well said. Two other points was as Keith mentioned, once we did a deep dive and a questionnaire on all of our employees in very early March for risk. We also implemented a screening program for all of our patients prior to the visit. That gave us an opportunity to educate the patient and the family on when we're coming what we're you know we can be using gloves and things of that nature. And assuring them that we were also going through the screening process as well as the patients gave them some comfort. So, that'll be number one. And the second one was there was much talk early on about a about complete living facilities and residents and patients and the programs there. Limiting access to our healthcare clinicians. We went with the plan of availability at all times. That puts some pressure on those that were caring for the patients in those facility. But we made it known that you could contact us by phone at any time to help you with the process of the medical care that at a sociological standpoint, psychological standpoint. Included, especially through our hospice programs that created that we are available to help you to continue to care for those patients within those walls. And so, in many areas we were seeing some of the first clinicians that were asked to come back in healthcare for those patients. So, I think that you're on the front-end of the screening for both employees and the patients and then the plan of just availability at all times to those that work here and patients families. And those work with that were inside those walls gave us that opportunity.
Bill Sutherland: Great, that's good color. And I guess last one Keith, on the telehealth reimbursement, you're -- you hear what's going on in great time and just kind of curious if you think there is a move there to get it reimbursed by seeing how soon then. How much is happening as far as other pairs, they may especially for telehealth reimbursement, thanks.
Keith Myers: Yes, I'll ask Bruce to tag team on that. With regard to Washington D.C. on telehealth reimbursement. I'm quite optimistic, that let's just talk about it being recognized at a service, as a service rather than specific reimbursement for it. But I think it could be recognized within an episode. It would, it could be, and it could stand in place of an available visit in certain situations and maybe on with some limitations to what percentage of the encounters would be in telehealth. Anything like that would be an improvement. And if that's what we are talking about, I'm highly confident that we're going in that that we're moving in that direction. And the question earlier about what was the focus of our team in Washington D.C. specific about the partnership with this it would also include not. I think they would tell you the same thing. If you're quite bothered about that, I mean do I think it's going to happen in the fall of this year? Probably not. But I definitely think we're moving in that direction. And Bruce, if I -- the best person to answer the other payers. Come on chief.
Bruce Greenstein: Well, so there is a just this side for me just to say from what Keith said in terms of where we stand on the administration's telehealth directive. We're quite thankful. We're very happy that CMS is recognized, the use of telehealth they're paying for it differently for other providers. We think that they struck a very good balance for home health. They made policy very quickly. They recognized that what we do is home health and it can't all be done view tele-mechanisms but they did allow for and we're explicit about the methodology to be able to use tele in the context of a visit. And that directive was quite helpful. They also relax some of the methods which you could carry out tele visits in a March 16th or 17th later that gave some flexibility on hipper requirements. And so, we deployed very quickly telehealth across the company in several business lines and that's working well. We feel like the benefit of this is where both training our employees, we're training families, we're training physicians' offices, how to make that complement the high quality of care that gets delivered in the home. So, we're quite pleased. And we do expect to continue the dialogue we're having with HHS and CMS; it's been very productive so far. And we feel like we're in a good position today and we're in a good position moving forward with Washington. For private payers, we're also seeing some progress and we're quite pleased. Payers made a lot of decisions very quickly. One great example is United Healthcare, that is allowing a tele visit to be recognized the same as an in-person visit and paying the same for it. We call it parity. They're requiring both audio and video for that and again we're prepared. We're being approached by several payers to standup programs that involve remote monitoring. And this is something we're also pleased about. And in some cases it's for monitoring a suspected COVID patient. Before they would qualify for home health and in other cases they want patients that have multiple chronic disease or are dealing with COVID itself and they want to have remote monitoring. Thanks for those patients, the importance have temperature and Pulse Ox. To be measured often. So, again what has been great is the recognition of the use of telemetry of tele visits both for the phone and video. We believe that this is something you can't unlearn. The genie will not be put back in the bottle and this healthcare system has changed for the rest of our lives. The use of telemedicine and tele monitoring from primary care, from in-home care and specialty care, will be changed forever. And again, the meta-point for me is the home is the most desirable site of service for healthcare moving forward. I don’t think we'll see a change in that forever. And there's no better industry to be able to help patients where they want to be than home health treating patients in their home.
Bill Sutherland: Okay, everybody. Thanks for all the color and stay safe.
Bruce Greenstein: Thanks, Bill.
Keith Myers: That's was the last question. Well, thanks everyone for dialing in and we will be -- thanks for giving us so much time. We look forward to catching up with you next quarter. And as always in the meantime if you have any questions for us, Eric Elliott is the contact and then he can put in touch with any member of the management team if you need to take a deeper dive. Thank you, so much.
Josh Proffitt: Thanks guys, be safe!
Operator: Thank you. This does conclude today's conference call. You may now disconnect.